Operator: Good afternoon, everyone, and welcome to the AmRest Q3 2025 Results Call. My name is Brika, and I will be coordinating your call today [Operator Instructions] I would now like to hand you over to your host, Lukasz Wachelko to begin. So please go ahead, Lukasz.
Lukasz Wachelko: Good afternoon, ladies and gentlemen. My name is Lukasz Wachelko, I'm representing WOOD & Company. And I have again a pleasure of moderating the call with management of AmRest to present to you the results of the third quarter of this year. The company is being represented by CFO, Mr. Eduardo Zamarripa; and IR and Strategic Director, Mr. Santiago Camarero Aguilera. Guys, the mic is yours.
Eduardo Zamarripa: Thank you, Lukasz. Good afternoon, and thank you for joining us in today's third quarter 2025 AmRest results presentation. It is my pleasure to share with you an update of AmRest situation at the end of the quarter. During the third quarter of the year, despite ongoing trade tensions and geopolitical uncertainty, both global and European economies showed resilience though Europe's lagged the global average. Across Western Europe, activity stayed mute. Growth was modest, helped by public investment and easier financial conditions but weighted down by weak exports and cautious consumer spending. Inflation moved closer to the ECB 2% target, allowing monetary policy to stabilize after an earlier rate cut. However, disposable income growth remained limited due to past fiscal tightening and high living costs, keeping consumers confident fragile. In Eastern Europe, growth slowed sharply versus the previous quarter. Fiscal consolidation like VAT hikes and subsidy costs hit household consumption, while inflation stayed above target in many countries, eroding real incomes. In the case of China, its economy held steady about 4.5% year-on-year growth rate, supported by a manufacturing rebound and targeted fiscal stimulus. Household spending improved slightly, thanks to tax rebates and easier credit but confidence remained soft. With that context, we'll now review our third quarter results, financial performance and outlook before opening the floor for your questions. Please note that today's remarks may include forward-looking statements subject to risks and uncertainties. But let's start with today's presentation. If we go to Slide 2, please. As a reminder, AmRest is a leading multi-brand restaurant operator in Europe with 2,110 restaurants across 22 countries in Europe, the Middle East and China. We are proud to operate some of the world's most iconic and reputable restaurant brands. Our portfolio combines global franchise brands, KFC, Starbucks, Pizza Hut and Burger King with proprietary concepts such as La Tagliatella, Sushi Shop, Blue Frog and Bacoa, positioning our businesses across quick service, coffee, fast casual and casual dining. Every month, our restaurants welcome over 30 million guests, served by more than 44,000 AmRest colleagues, a scale that allow us to deliver consistent value and service across formats and geographies. If we move now to Slide 3, I'm going to try to summarize the most relevant financial KPIs and events for this quarter. First, we hit historic sales record of EUR 660.5 million for a third quarter with a 3.5% increase when excluding the impact of the asset disposed during the year. In this case, let me remind that we sold our equity stake in SEM business at the end of the first quarter. And as a consequence, we deconsolidated all the assets and liabilities associated to the business since then. The idea behind this transaction has been to internalize and optimize the value generated in the chain management and product quality assurance services. Second, EBITDA reached EUR 111.2 million, which a solid margin of 16.8%. The operating profit reached EUR 42.3 million with a 6.4% margin, while the net profit achieved at EUR 15.8 million. Leverage stood at 2.1x and the low end of our internal target range. Finally, during the quarter, we opened 16 new restaurants and renovated 46 units, continuing our commitment to growth and modernization. In the following slides, we will go into more depth and detail of these points. But let's start first with what we are doing in our different brands on Slide 4. The commercial position of our brands plays a crucial role in the value generation of AmRest. Let me start with the KFC, La Tagliatella and coffee brand in this Slide 4. At KFC, we continue to deliver both locally relevant experiences through dynamic campaigns and seasonal innovations. The California Summer campaign brought different offerings, complemented by a strong value proposition. We amplified engagement through the high-impact promotions. And for instance, our largest partnership of the year with the EuroBasket during the summer months. In addition, regional highlights included the Street Food Festival in Czechia and Hungary, introducing global flavors like [indiscernible] and Korean K Zinger. These initiatives strengthened brand image, boosted basket value and reinforce customer loyalty. At La Tagliatella, we continue to push culinary boundaries, partnering with Michelin-starred chef Carlos Maldonado to elevate brand perception and attract new audiences. This bold collaboration fuse Italian tradition with Maldonado's avant creativity, resulting in 4 exclusive dishes. The initiative delivered double-digit growth within our historical additions category, positioning La Tagliatella as an innovative leader in the restaurant sector. At Starbucks, we continue to strengthen our coffee leadership while embracing evolving consumer trends. Core coffee growth accelerated with espresso-based beverages reinforced by our back to Starbucks strategy centered on quality and tradition. Seasonal beverage launches continue to drive customer engagement, while growing interest in wellness and personalization is reflections in the strong appeal of matcha-based offerings. Now let's continue with our brand in Slide 5. At Sushi Shop, following the strong momentum for our Rubik's Cube collaboration during third quarter, we launched our annual summer receipts edition. The result resonated strongly with consumers prompting us to extend the offer into the September to maximize engagement. At Blue Frog, we strengthened our bar, identity and local relevance through 3 key initiatives: refresh drink menu, where we introduced higher quality creative options to elevate the all-day bar experience. Chinese Valentine's Day with a premium [indiscernible] and [ Thin ] cocktails created a festive romantic atmosphere. And third, our city-limited series locally inspired dishes and cocktails showcased authenticity and deepen the connection with regional audiences. At Pizza Hut, we strengthened innovation leadership through both consumer-focused initiatives. Globally, Pizza Hut introduced the Pizza Cheese Burger range, a mashup concept blending classic cheeseburger flavors with Pizza Hut signature pizza format. This range targeted Gen Z, and value-seeking consumers, supported by gaming and delivery partnership. These campaigns strengthened Pizza Hut reputation for both flavor innovation, resonating strongly with consumers. And finally, in third quarter, Burger King brought anime culture to life in Poland, Czechia and Romania with a special Naruto theme activation. Restaurants offer exclusive meals per with a collectible toys turning BK into a destination for anime fans and driving engagement, brand affinity and incremental sales. If we now move to Slide 6, please. Core revenues on a comparable basis grew by 3.5% year-on-year, underscoring the strength of our portfolio. In addition, we continue to see steady progress in the 12 months trailing average sales per equity store, driven by an optimized channel mix, disciplined pricing strategies and positive impact in recent renovations. These combinations of per store productivity and selective expansion reinforces our ability to consistently improve unit economics across the network. As a result, AmRest delivered resilient store level performance that supports sustainable growth despite the temporary challenges faced in several markets. Moving to Slide 7, please. In the third quarter of the year, digital orders reached 62% of total transactions, a clear testament of accelerating adoption and shifting consumer preferences. This transformation is powered by our omnichannel ecosystem which integrates proprietary kiosk, mobile apps, web ordering and third-party aggregators. By leveraging these platforms, we deliver personalized promotions, unmatched convenience and a seamless experience across every touch point. Digital remains a core pillar of our growing strategy, driving both customers' engagement and operational efficiency. In summary, our robust digital adoption underscores 2 things: challenging consumers' behaviors and our commitment to innovation. That speed of service improved consistency and drives ticket growth. In short, digital continues to be a strategic lever for sustainable value creation. Now moving to Slide 8. As we have covered in previous calls, our underlying restaurant growth is complemented by strategic adjustments to nonperforming businesses made since 2022 which have led to the end of certain commercial agreements or disposable of some businesses during this period. These decisive moves are aimed to sharpening our capital allocation and focusing the portfolio on the most resilient and profitable formats, ensuring that our footprint is configured for sustainable long-term returns. Today, AmRest operates directly or via franchisees a portfolio of 2,110 restaurants across 22 countries and 8 brands, following the opening of 16 new restaurants and the closure of 14 during the quarter. With this, Santi, if you can cover the main financial highlights, please.
Santiago Aguilera: Thank you, Eduardo. Thank you, everyone, for joining us. Our objective today is to try to be clear on what is working and transparent about what is -- what we are improving in our business. We continue to see healthy sales performance despite temporary macro headwind in several markets, and this is supported by a balanced brand and market mix as for a disciplined commercial execution. In this regard, pricing remains critical as we need to balance protecting traffic and brand health while offsetting cost inflation. Digital occasions are a structural tailwind. Guests are choosing our apps and aggregators for convenience, speed and value. And this trends across global QSR, where convenience led by omnichannel ordering continues to expand. We are progressing and refining offers through a better and wiser usage of data to increase attachment and order value. Second, our operating profitability is resilient, though shy of where we expected a few quarters ago. This reflects sector-wide wage and input cost dynamics and in some markets, a more value-sensitive consumer. We are staying agile, tightening cost control, prioritizing high-return initiatives and using target promotions that reinforce value without diluting the brand. This playbook is consistent with our strategic view of value discipline, operational efficiency and risk management to protect margins through the cycles. We have delivered an improvement in terms of the operating profit, underpinned by lower impairment charges and a sharper focus on the quality of earnings. That improvement is a function of many small structural gains product at a single lever. Finally, our balance sheet remains strong. We continue to generate solid cash flow and capital expenditure is not only well controlled but trending lower, while still leaving us ample flexibility to invest in digital initiatives, operational enhancements and the most attractive new unit opportunities. All of this is achieved while maintaining prudent leverage and preserving the capacity to navigate uncertainty. So with this in mind, let's turn to the Slide 10, please, for the quarter's financial and operating highlights. Most of this has already been covered by Eduardo but let me give you a quick recap. Quarterly sales came in just under EUR 661 million, which is a 3.5% increase year-on-year when we exclude changes in the consolidation perimeter. Same-store sales held steady with the index close to 100, showing a stable performance across comparable units. EBITDA for the period was a bit over EUR 111 million, giving us a margin of 16.8%. On a non-IFRS basis, this is excluding leases effect, EBITDA was EUR 64 million with a margin of 9.7%. And operating profit reached EUR 42.3 million, which represents a margin of 6.4%. During the quarter, as addressed by Eduardo, we opened 16 new units, and we kept the CapEx below EUR 34 million, reflecting our disciplined approach to capital allocation and focus on high return opportunities. And finally, as at the end of October, our same-store sales index remains around the 100 level. Moving to the Slide 11, please. Our group delivered a record third quarter revenues of EUR 661 million. That is likely from -- this is slightly up from last year, about 0.2%. And if you adjust for businesses with this consolidated earlier, growth came in at 3.5%. Now I think that it is important to recognize the context, the quarter wasn't without challenges. Consumer confidence stayed weak and cost of living pressures continue to squeeze disposable income. That means less discretionary spending in restaurant, especially towards the end of the summer. But here is the positive. We see these conditions as an opportunity to strengthen long-term loyalty. We are focused on giving customers what they want, great flavors at a attractive price points, smart bundles and value-driven offers. And we are using our digital platforms to personalized promotions and to make the experience as convenient as possible. One last note on comparisons last year, Q3 numbers included EUR 9.3 million of extraordinary income from refunds which boost revenues and profitability. Turning now into the Slide 12, please. We will focus on EBITDA performance for the third quarter. EBITDA came in at EUR 111 million, with margins holding around 17%. This demonstrates our ability to maintain healthy profitability in a dynamic market environment. The bridge of this slide shows how we have protected unit economics through effective labor management and productivity initiatives. These actions has helped us to offset inflationary pressures and competitive challenges, keeping operational efficiency strong. In the case of the operating profit for the quarter, we delivered EUR 42 million, representing a margin of 6.4%. This is a decline of 2.7 percentage points compared to last year. Looking at the first 9 months of the year, cumulative EBITDA reached over EUR 300 million with a margin of 15.6%. Operating profit for the same period totaled almost EUR 90 million. That corresponds to a margin of 4.7% which is an improvement of 0.3 percentage points versus last year. Moving now to Slide 13, please. I would like to highlight a few important developments in our restaurant portfolio and financial performance in this slide. First, over the past 12 months, our net equity restaurant count grew by 59 units. This reflects our commitment to selective growth in markets and formats with the highest potential. At the same time, the number of franchise restaurants declined mainly due to the transfer of the Pizza Hut France business. This move was part of our ongoing strategy to optimize the portfolio and concentrate resources where they can deliver the greatest returns. From a financial perspective, Net profit for the quarter was just under EUR 16 million. That's below last year's figure. But remember that last year included some one-off items that I mentioned earlier. And finally, also as I noted before, we continue to see a gradual reduction in terms of CapEx, reinforcing our disciplined approach to capital allocation and also I covered that point before. Let's move now please to the Slide 14, which provides a detailed view of our liquidity, our leverage position. Our overall risk profile remains broadly unchanged with our net financial debt now at 40 -- sorry, EUR 503 million. Importantly, leverage stands at 2.1x, right at the low end of our internal targets. And once more, this reflects our disciplined approach to financial management and our commitment to maintaining a strong balance sheet while continuing to invest selectively. At the end of the quarter, we held nearly EUR 145 million in cash, and we have access to an additional EUR 215 million via committed credit lines. All this ensures that our liquidity position remains prudent and efficient, fully aligned with the group's operational and strategic mix. On Slide 15, you can find an overview of our financial debt structure and also the maturity profile. As you can see, there has not been significant changes compared to the previous quarters. Our funding remains stable and well balanced with the vast majority of our debt denominated in euros. The maturity schedule is well levered with a clear long-term orientation. If we move now to Slide 16. We can find the breakdown of revenue, EBITDA and the number of restaurants that we have in each geography. This segment comprises businesses in 22 countries where once again, we have observed very different commercial dynamics. So as usual, let's start with Central and Eastern Europe, our most significant region, please, that you can find all this information in the Slide 17 and 18. In the third quarter, the region delivered sales of EUR 421 million, up 7.8% year-on-year and accounting for almost 64% of total group revenue. Looking at individual markets. Hungary posted double-digit growth of 10.3%, while Poland also performed strongly with almost a 9% increase. Regional EBITDA came at EUR 86 million with a margin of 20.4 percentage that represents a decline versus last year but keep in mind that Q3 '24 included more than EUR 8 million in refunds. So excluding this one-off, the EBITDA grew by 1.3%. Finally, the restaurant portfolio in the region is totaled 1,255 units at quarter end, following 8 openings and 2 closures. For the year so far, we have opened 35 restaurants in the region and closed 8. Let's move on to the Slide 19 and 20, please, to review Western Europe. Sales in this region for the third quarter totaled EUR 219 million, which is a 2.7% decline compared to the same period of last year and once more performance embody very drastically by different markets. In the case of Germany, we delivered a solid growth of 6%. In Spain, we held steady numbers, very similar to last year, while France continued to face big challenges with sales down almost by 14% due to weak consumer confidence. EBITDA for the quarter was EUR 32 million with a margin of 14.7%. This is broadly in line with last year. The restaurant portfolio closed the quarter were 770 units following 4 openings and 6 closures. And for the first 9 months of the year, we opened 10 restaurants and closed 24. If we go now to Slide 21 and 22, we have our performance in China, where sales for the quarter were EUR 20 million down 10% in nominal terms, but on a constant currency basis, so local figures, the decline was less than half of this figure, so this is below 5%. These numbers reflect the impact of a challenging macroeconomic environment and a global slowdown in consumer spending, which weighed on business generation. To address these headwinds, we are accelerating initiatives focused on value-driven menu innovation, strengthening digital engagement and optimizing operational efficiency. These actions are designed to protect margins and reinforce brand relevance in a more price-sensitive environment. In terms of profitability, EBITDA for the quarter was EUR 3.5 million with a margin of 17.4%. And finally, at quarter end, the Blue Frog portfolio comprise 85 restaurants following 4 openings and 1 closure. Year-to-date numbers, we opened 7 restaurants and closed 9. And with this, back to you, Eduardo.
Eduardo Zamarripa: Thank you, Santi. To conclude, this quarter reflects both resilience and the reality of a tougher operating environment. While we achieve record revenues and maintained solid margins Growth was tempered by persistent macroeconomic headwinds, with consumer confidence, cost of living pressures and on even regional performance. We are not satisfied with these results and we are taking decisive steps to improve. Our priorities include accelerating digital engagement, sharpening value propositions, optimizing operational efficiency and maintaining a strict discipline and capital allocation. These actions are designed to protect profitability and strengthen branded relevance in a more price-sensitive environment. In light of these dynamics, we are revisiting our revenue and profitability guidance for this year to reflect current market conditions and the timing of our improvement initiatives. This adjustment is a prudent step to ensure transparency and set realistic expectations. In this regard, we expect to close 2025 with a low single-digit growth in sales and with an EBITDA margin slightly above current year-to-date that I remind you is 15.6%. Finally, the number of restaurants to be opened will be below last year numbers. Thank you for your continued trust and partnership. We remain committed to delivering sustainable value and will now open the floor for your questions. Many thanks to everyone. And with this, we are open to any questions that you may have.
Operator: [Operator Instructions] The first question we have from the phone lines comes from Jakub Krawczyk with ODDO BHF.
Jakub Krawczyk: Hopefully you can hear me. Here is Jakub Krawczyk from ODDO BHF. I have a couple of questions. Question number one, can you please elaborate on these refunds that were the one-off in Q3 '24? I just want to understand what the nature of these refunds are? And is this something which maybe can occur again. And question number two, France, okay, and Sushi Shop. Can you tell us -- give us a bit more color on what is the -- what's going on there? How is the restructuring going? What's the weakness? Why has -- the measures you have undertaken so far not really materialized in terms of -- or not translated to an improvement in the numbers? And what can be done? And what's the time frame? What are your expectations for this business for Sushi Shop specifically? And I guess a follow-on how does Sushi Shop perform outside of France? Is it equally weak or not?
Eduardo Zamarripa: Okay. Thank you, Jakub for your questions. Now related to the first one that you make in terms of the refund, that's something that was a onetime effect. So we should not be having any refund like this in 2025. Then related to the question that you make on Sushi Shop, I would say that we have to split this in several topics. And first, we need to consider that the situation on the French market is quite challenging. Consumer confidence is going down and consumption is also challenging. That's why also we have some plans that we have been working on in the French market, talking about Sushi Shop but also the other brand that we operate there. Now topics that we have been working on. First, in terms of the stores, we have made the deep analysis of the stores that it makes sense to keep. And we have some stores that are big bleeders which do not make sense to continue working with. So we're restructuring that and closing the stores that do not make sense to have there. And we have 3 clusters in terms of stores, the ones that are profitable. And then the ones that we have a [indiscernible] stores, the one that they have a potential to increase the performance. Because of the operations, and the others that, as I said, they are heavy losers and makes sense to close. So that's part of what we are doing of what we are doing over there. Delivery strategy. As you know, Sushi Shop is fairly highly concentrated in delivery. So negotiation with the delivery companies in order to keep being relevant in the segment and be on the first pages of the applications. And at the same time, also strengthening our own delivery channel. The application is something very relevant, creating loyalty programs for our consumers also is quite relevant for us. We are working also in terms of the menus that we are offering reviewing that, which are the SKUs that have the highest consumption and keeping those and making the analysis of the one that do not move that much, so making menu efficiencies. And also innovations, new boxes that we are launching new roles that we are launching and innovation is something that plays a big role in a segment like in a segment like sushi. One of the facts that we also have in the past and right now in procurement, we are making a lot of advances in terms of the prices of the salmon. As you know, there was a big disruption in previous year in terms of the price of salmon. And right now, our procurement team is having very good negotiations in those fronts. Also renovations of our stores a design, which we have a warm, welcoming ambience, the colors that are there that invite you to spend a very nice time. And also working on the lightning of the places. So it's having a better environment overall in order to buy -- our consumers to be there given the reality that we have, a dine-in which is a small part of the business but working a lot on the value proposition for the consumer for the delivery.
Santiago Aguilera: Yes. I mean, if I may to add over here. I mean, I understand the relevance of the question, given the performance that we have seen in the French market, the situation that we have in the past with the investment in Sushi Shop. But -- there are many small levers, as Eduardo was mentioning, many different things that are really turning the boat and the situation of the brand. It's very important the question that you ask Jakub, with respect to the performance in the different regions. And just to remind you, for the Sushi Shop the core business, the origin is France. But currently, we are running business in Belgium, Switzerland, Spain, the Gulf region, Luxembourg, and in most of these markets, what we are seeing is a quite positive performance with all these initiatives that we are putting on the table that invite us to think that the situation, the macro situation that we are living in the French market is preventing to unleash the value of all these initiatives that we are deploying at the moment. Thank you very much for the question.
Jakub Krawczyk: That's very useful color. Can I just -- would it be farfetched to assume that for the moment, you're not considering more radical changes to this own brand such as exit or something like that at this point. I guess you're still in a mode to fix it, correct?
Eduardo Zamarripa: We are focusing all our efforts in order to deliver results in this brand in France.
Operator: [Operator Instructions]
Lukasz Wachelko: Okay. So maybe I will use my previous moderator and ask a couple of questions from my end. First of all, as a follow-up to Jakub's question. In France, do you see any [ signs ] of the things getting better, are there any time lines and the milestones you have set? Do you have any visibility when the things can get better? That's the first one.
Eduardo Zamarripa: Thank you for the question, Lukasz. And for us right now, the most important thing is to work on the improvements that we were mentioning. We have several initiatives across that. We have a plan put in place by the Brand President of the brand, and there are direct involvement of all the functional leaders. Now the CEO is involved on that execution plan, as you can imagine, also I'm quite involved on that. Also operations. So this is a priority. This is one of the priorities of the organization. Right now, I prefer to focus more on the things that we are doing more than to enter into which is the timing. But I want to assure that this is one of the priorities that we have in the organization in this 2025 and is still a priority for 2026.
Lukasz Wachelko: Okay. And I also have a question about the Polish market when we see Zabka a leading convenience chain developing pretty fast. And this year, they started the rollout of a pretty nice offer of QSR products. Do you see any impact of that? Do you find them competitors -- should we expect any impact of those developments with offering a pizza on your numbers? How do you see it?
Eduardo Zamarripa: Competition is something that is in the day-to-day operations of the restaurant industry, as you say, this is one of the emerging competitions with the products that they are offering. That's why also for us, it's very important to work on the -- on our consumers to work on the development of new products, on new occasions of consumptions, on improving the experience that the consumers that our clients have. And that's why we made particularly a section in this conference call in terms of the topics that we are putting on the table to attract consumers, Generation Z, but also and all our consumers to keep our brands relevant. That's what is relatively important for us. Now how we keep our brands relevant what makes us unique what makes us different. And the value proposition that we give and the development of new products is something that is quite relevant for us. But you raised an interesting point, Zabka, as you say, but it's also supermarket, the ready-to-eat segment in supermarket is increasing. That's a reality, and we need to adjust our strategy towards new realities that are happening there. But as always, we welcome competition, and that makes us be better every day.
Lukasz Wachelko: Okay. And another question from my end before I let others is regarding the Czech market. When we were seeing recent negative news flow on the problems with quality or food safety in KFC. I understand the second restaurant was under the spotlight recently. So can you shed some light on that for us? What's happening there, how serious it is and one can take us?
Eduardo Zamarripa: Thank you, Lukasz, for the questions. We take matters of health and safety very seriously and we have very strict food and safety protocols in place. Our restaurants regularly undergo multiple levels of quality and safety oversight, including external audits for independent third parties, internal foodservice controls and also inspections from national and local authorities. Across these hundreds of audits in Czech market, including 250 inspections conducted year-to-date by state authorities alone, we have not found any issue related to the systematic mishandling of food products.
Santiago Aguilera: No, I mean, I think that, that's the point that we are really seeing many more audits that we have before, but all of them, they are coming up with positive outcome. I think that 1 of the points that is always important to remind that the level of checks, audits, protocols that we have in terms of health safety, I mean they are unparalleled in the industry. So if 1 thing we can be very proud, I think that is this specific point.
Operator: [Operator Instructions]
Lukasz Wachelko: Okay. So maybe in the meantime, we'll have another question Germany, there's the market when you were [indiscernible] for longer while but, in fact, I believe it was rather the previous quarter when the things stabilized and got better. And this time around also see a decent performance there. So -- what has changed why well Germany and also Hungary are performing above the other markets?
Eduardo Zamarripa: Well, for Germany we have to take one consideration still is one of the challenging markets that we have. But as we were mentioning also with Sushi Shop in Germany is exactly the same. We are working in order to improve the experience that our consumers are having over there. The main brand that we have in Germany is Starbucks, and we have work a lot in order to improve that experience, as I was saying, through the development of new products, new beverages, also increasing the offering that we have in terms of food and going back to the roots of Starbucks is what is helping us to improve the results on that market.
Lukasz Wachelko: Okay. And what about Hungary? Because this market is also standing out in the perspective.
Eduardo Zamarripa: And you raised a very good one. If we make the comparisons versus the third quarter of last year, among the biggest markets that we have Hungary was outstanding in terms of -- it was outstanding in terms of results. And it's execution, execution and execution over there.
Santiago Aguilera: We have received some writing question. I guess some of them, they have already been addressed. So thank you for it, but I'm going to try to read the ones that they have not been addressed yet. One of the question is, one, what are the main reasons for slowing sales dynamics in Spain despite the strong tourist and macro in the country. And here, one of the point that is important to bear in mind, I think it's always we have a very strong seasonality in terms of our business, depending on where your restaurants are placed, are situated, the seasonality is going to change. So that is why I always suggest that it's important to see from an aggregated perspective, really in 12 months average, I think that provides a better picture. And there, what you have is a strong momentum in our restaurants. The challenge in terms of the situation in Spain is very similar to other countries despite of the good macro figures that we have that is the cost of living pressure that many people are suffering and this is, of course, affecting consumption. But when you see the aggregated figures and the growth that we have, we have very positive dynamics, sales growth, pricing margins, and to be honest, we are quite positive about the future of our brands in the country. We have received also another question regarding Hungary that I think that we have already addressed about the very good performance that we are recording in the country. An additional question is asking, what are the main reasons for the like-for-like performance that we have in this quarter? And I think that this has also been addressed. We have some markets, and we are having a quite poor performance. We already addressed the situation that we have in France with a drop of 14% in terms of sales. This is one of the very big markets for us. So this is, of course, affecting the like-for-like figures of the whole group. And I don't know if we have any more questions on queue, operator?
Operator: We currently have no questions in the queue, [Operator Instructions] And Santi, we have another question. So I'll hand back to Santi to read that.
Santiago Aguilera: Sorry, I'm just trying to see the question. I'm not sure what is referring the question, apologies.
Eduardo Zamarripa: I think it is related to G&A. I think under this quarter, we have -- as we have seen the performance of the market, we have been also very focused in terms of how we control and tightening our G&A in order to balance the results. Also, we have a question in terms of if we are seeing a more cautious consumer in Poland? And I think in a certain way, we also have are we have addressed this question in terms of consumption confidence across Europe is something that we look very, very closely, and we see how we can improve through the different products that we offer in our restaurants to deliver -- been able to deliver value to our consumer. Now one of the things that, yes, we are seeing the promotional activity has increased and the promotional -- the menus that we have are having an important way in our -- weight in our mix, so we are seeing these kind of effects in the consumer. But what is relevant is that through the value proposition, the products that we deliver and the menus that we have been able to offer to our consumers, the solution that they have in terms of full consumption in our restaurants.
Santiago Aguilera: If I may here, I think that it is important to highlight also one topic. So we have addressed today in previous occasions, also know what is the complex context that we have from this macro perspective, our consumer confidence is weak in many different countries. And once more, we have to reverse the effect of the cost of living standards that the accumulated inflation that we have on the latest years is having on consumption. We are not immune to this. So this is a temporary effect. This is something that at 1 point in time, it will pass. But what we are trying to convey is here is 2 things. how we are addressing this. We are addressing this, taking an agile approach in terms of adapting to our consumer needs but also taking as an opportunity to enhance, improve our structural capabilities. And this is also something that we are trying to really to show you over here how we are building a better and a more profitable company, bear in mind that right now the temporary macro factors are not helping our business. We have one final question that is about CapEx expectations for next years. This is something that we will address on the next investor call presentation when we provide the full year guidance for 2026. But as we mentioned before. And also one of the things that we are trying to push as a structural -- and structural move in our strategy is to optimize the capital allocation to be efficient in terms of this CapEx, what we are seeing is that this is translating in a lower usage of CapEx. But once more, not preventing to be investing in to have a better company to continue to be open units, to continue to be invested in digitalization and to continue to be improving our operational capabilities. Thank you for all these questions. I now think that with this, if there are not any more questions.
Operator: I can confirm, we have no further questions.
Eduardo Zamarripa: Good. Thank you. Thank you, operator. Thank you to all the participants in the conference call. See each other in the next quarter results, please feel free to contact the IR team if you have any follow-up questions. And we are -- we will be happy to see you in one of our restaurants in the near future. Thank you very much.
Santiago Aguilera: Thank you.
Operator: This does conclude the AmRest Q3 2025 Results Call. Thank you all for attending. You may now disconnect, and please enjoy the rest of your day.